Operator: Good day, ladies and gentlemen and thank you for standing by. Welcome to the SPS Commerce Third Quarter 2018 Earnings Conference Call. At this time, all participants are in a listen-only mode. Later, we will conduct a question-and-answer session and instructions will follow at that time. [Operator Instructions] As a reminder, this conference call maybe recorded. I would now like to introduce your host for today’s conference, Ms. Irmina Blaszczyk. Ma’am, you may begin.
Irmina Blaszczyk: Thank you. Good afternoon everyone, and thank you for joining us on SPS’ third quarter 2018 conference call. We will make certain statements today, including with respect to our expected financial results, go-to-market strategy and efforts designed to increase our traction and penetration with retailers and other customers. These statements are forward-looking and involve a number of risks and uncertainties that could cause actual results to differ materially. Please note these forward-looking statements reflect our opinions only as of the date of this call and we undertake no obligation to publicly update or revise any forward-looking statements whether as a result of new information, future events or otherwise. Please refer to our SEC filings as well as our financial results press release for a more detailed description of the risk factors that may affect our results. These documents are available at our website, spscommerce.com and at the SEC’s website, sec.gov. In addition, we are providing a historical datasheet for easy reference on our Investor Relations section of our website, spscommerce.com. During our call today, we will discuss adjusted EBITDA financial measures and non-GAAP earnings per share. In our press release and our filings with the SEC, each of which is posted on our website, you will find additional disclosures regarding these non-GAAP and adjusted EBITDA measures, including reconciliations of these measures with comparable GAAP measures. And with that, I will turn the call over to Archie.
Archie Black: Thanks, Irmina and welcome everyone. Over the years SPS Commerce has evolved to lead the industry in cloud-based supply chain management solutions helping retailers progress along their journey to evolve their omni-channel strategy. We posted a strong third quarter of 2018. Revenue grew 12% to $62.9 million, recurring revenue grew 13% and adjusted EBITDA grew 70% to $14.4 million. While we continue to make great progress towards our 2020 financial goals, we are committed to offering our customers technology leading solutions that will position them competitively in a changing retail landscape. As retailers and suppliers work together to adopt an efficient omni-channel strategy we strive to make the process as seamless as possible and improve the customer experience across the SPS Commerce network of more than 75,000 customers worldwide. To expand our capabilities, we recently acquired [EDI Admin], a leading provider of supply chain integration technology. Based in Minneapolis, [EDI admin] is a long-time partner of SPS Commerce, and shares our vision of helping trading partners work better together within end-to-end automation and integration solutions. We believe bringing this technology in-house accelerates our industry leadership by delivering additional automation capabilities for our products. We are excited to welcome the talented [EDI Admin] team to SPS Commerce. In addition to providing new automation capabilities to streamline order fulfillment, we continue scaling our multi-tenant offering for vendor communities who are faced with evolving technology requirements across the retail landscape. Over the years SPS Commerce has grown its network and portfolio of comprehensive supply chain management solutions to help our customers scale their businesses by enabling them to connect efficiently and seamlessly with various retailers and logistics providers. For example, Circle Media, an electronics vendor became a SPS Commerce customer to meet Wal-Mart's EDI requirements. Leveraging the SPS Commerce network they then connected to additional retailers including Target and Bed Bath & Beyond, as well as their third-party logistics provider to streamline all trading partner relationships. As the vendors scaled their operations and their order volumes increased they were able to once again turn to SPS for our NetSuite fulfilment integration solution to save time and avoid risk associated with manual entry. With SPS Commerce providing a full service solution across their business we are able to easily add their vendors’ connection to Shopify. This customer now has seamless automation with all of their trading partners, whether they use EDIs or APIs. Adding Shopify to SPS Commerce platform aligns with our core service value of growing our network to meet the needs of increasingly complex supply chain requirements. With the latest technology enhancements to our industry-leading fulfilment solution SPS Commerce continues to lead in end-to-end automation and integration solutions. With that, I will turn it over to Kim to discuss our financial results.
Kim Nelson: Thanks, Archie. We had a great third quarter. Revenue for the quarter was $62.9 million, a 12% increase over Q3 of last year and represented our 71st consecutive quarter of revenue growth. Recurring revenue this quarter grew 13% year-over-year. The total number of recurring revenue customers increased 6% year-over-year to approximately 26,900 and wallet share increased 8% year-over-year to approximately 8,700. For the quarter, adjusted EBITDA was $14.4 million compared to $8.5 million in Q3 of last year. We ended the quarter with total cash and marketable securities of approximately $194 million and repurchased approximately $2 million of SPS shares. Now, turning to guidance, for the fourth quarter of 2018, we expect revenue to be in the range of $63.4 million to $64.1 million. We expect adjusted EBITDA to be in the range of $13.5 million to $14 million. We expect fully diluted earnings per share to be approximately $0.27 to $0.29 with fully diluted weighted average shares outstanding of approximately 17.8 million shares. We expect non-GAAP diluted earnings per share to be approximately $0.44 to $0.46 with stock-based compensation expense of approximately $3.3 million, depreciation expense of approximately $2.4 million and amortization expense of approximately $1.2 million. For the full year, we expect revenue to be in a range of $246.5 million to $247.2 million, representing 12% growth over 2017. We expect adjusted EBITDA to be in the range of $50.9 million to $51.4 million representing approximately 50% growth over 2017. We expect fully diluted earnings per share to be in the range of $1.22 to $1.24. We expect fully diluted weighted average shares outstanding of approximately 17.6 million shares. We expect non-GAAP diluted earnings per share to be in the range of $1.84 to $1.86 with stock-based compensation expense of approximately $13.3 million, depreciation expense of approximate $8.7 million and amortization expense for the year to be approximately $4.3 million. For Q4, investor should model a 30% effective tax rate calculating on GAAP pre-tax net earnings. For 2019, we will provide detailed guidance on our Q4 earnings conference call. However, for modeling purposes, we expect to deliver approximately 20% EBITDA dollar growth in 2019 continuing to make great progress towards our 2020 EBITDA dollar and margin goals. And we remain confident in our ability to achieve a revenue run rate of at least $300 million exiting 2020. The on 2020, we expect to see continued margin expansion with a long-term target model for adjusted EBITDA margin of 35%. In summary, while the retail environment continues to shift to embrace omni-channel dynamics, SPS Commerce continue to extend our leadership and we remain confident in our ability to achieve our 2020 goals and long-term financial targets. And with that I'll like to open the call for questions.
Operator: [Operator Instructions] Our first question or comment comes from the line of Matt Pfau from William Blair. Your line is open.
Matt Pfau: Hey guys, thanks for taking my question and nice quarter. I wanted to ask about enablement campaigns and what you saw from those in the quarter and it seems like based on the one-time revenue that they were relatively healthy. But some commentary there would be helpful.
Kim Nelson: Sure. As it relates to enablement campaigns, we appropriately had a really nice quarter of those community enablement campaigns. One thing that we noticed in the quarter, we actually had a handful of campaigns really focused around grocers more mid-sized grocers. And what that did is that ended up translating into a higher net customer adds this quarter than you've seen with some previous quarters. We can think about payer is by getting in front of those more mid-sized grocers that allowed us to get in front of some albeit small suppliers but suppliers that weren’t previously within our network that we are able to add into our network.
Matt Pfau: Great. And last one for me just on the gross profit margin in the quarter. There was a nice uptick there may be just what drove that and how should we think about gross margin going forward?
Kim Nelson: Sure. So, I continue to think the best way to look at gross margin is really on an annual basis not look too much one quarter versus another quarter. So, what you did see an uptick slightly in the quarter but overall we think longer-term there is great opportunity for improvement in gross margin. That is an area how we continue to look at an investor appropriately and the overall customer experience.
Matt Pfau: Great, thanks guys.
Operator: Our next question or comment comes from the line of David Hynes from Canaccord. Your line is open.
David Hynes: Hey, thanks guys. Archie, in the past you've talked about how you guys have kind of a tri model customer distribution, right. You had a couple of really large or a couple of 1000 really large customer's kind of a chunk around the average and then a long tail of smaller suppliers. As you think about those three cohorts, what does it feel like you have the best opportunity to drive same store sales? And if you could talk about some of the new things that you're thinking about and how do you get there?
Archie Black: Yes. I think the logical answer to say that you're going to be able to drive same store sales if you will on all three. The largest ones it depends the one they buy. To the extent they buy for division or a portion of their business and their trailing it would perhaps or backlog retailers, people they're struggling with. That a no specific cases, there's really nice up sound otherwise there's not as much there. The mid-size, it tends to be they tend to buy what they need upfront and you're going to kind of grow along with our business. The smallest companies we found when we look at them, when we do sell them, we have pretty substantial upsell opportunity over the first 18 months or so. PL, that's kind of more across the board, on the bigger ones it's more specific. I could see there either is a ton of upsell opportunity and that specific account where there is in given a just grow as fast as they grow.
David Hynes: Yes, okay. Okay, well maybe it sound like some of these smaller suppliers to the grocers that you did some business within the quarter will lead to some incremental growth. So, I'll pass the line, nice grocer margins in the quarter.
Archie Black: Thank you.
Operator: Thank you. Our next one, question or comment comes from the line of Koji Ikeda from Oppenheimer. Your line is open.
Koji Ikeda: Congrats on the quarter and thanks for taking my question. Just I had a question in the sales & marketing spend in the quarter, looks like a downtick in the quarter on a year-over-year basis. Just curious what's best way to think about sales force capacity here and overall sales force productivity, as the business really starts to head into 2019?
Kim Nelson: Sure. So, as it relates to sales and marketing, couple of dynamics in the quarter. 1) If you look back, historically Q3 tends to be a bit lower than Q2. That being said, what we also have seen and it's reflected within our financial statements, we're actually having really strong sale execution and we're in a position that we're actually getting more output or productivities per last. And we had even anticipated that we would answering this year. So, what that means is we're in a position where we don’t actually need to back fill as many positions as we historically had had to. So, first we continue to a higher and there is normalized level of attrition as any company would have. But we're in a position that based on the output we're getting from the rest, we don’t need to back fill as many of those positions. And therefore, you also see that reflected within the results for the quarter. So said another way, we feel really good about that sales capacity that we have in order to hit our revenue goals.
Koji Ikeda: Got it. Thank you, for that. And just one quick question on adjusted EBITDA margins. This quarter it looks like you get right around 23% and I know the 2020 target is low 20. So, it sounds like you're pretty much there right now. What was the best way to think about margin expansion from here and I guess from really going with this is do we potentially see that long-term target of 35% EBITDA margin starting to materialize sort of its sooner than I previously thought?
Kim Nelson: The way I would think about that, Koji, as long-term we saw it reiterate about mid-30s, that's roughly 35%. We also have mentioned that we're making great progress towards those 2020 goals as it relates to the EBITDA margin 2020 goals. We said we'd be at least in the low-20%. We also did give a little bit of color to help folks as related how to think about 2019, again we're not giving complete guidance until our Q4 earnings call in February but we have said that our expectation for 2019 is that the EBITDA dollars will increase approximately 20% year-over-year.
Koji Ikeda: Got it, and thank you for that and congrats again on the quarter.
Archie Black: Thank you.
Operator: Thank you. Our next question or comment comes from the line of Tom Roderick from Stifel. Your line is open.
Tom Roderick: Yes guys, thanks for the question. And my luck you may send them with your nice job in the quarter. I guess I'll kind of go back to the last question talking about sales and marketing a little bit dive in a bit more on that. Because I can't help but sort of think you guys are doing more with last. Looking at the customer count addition, that's accelerating and is as was pointed out came in you kind of commented on some seasonality but this Q3 sales and marketing number on GAAP is you got to go all the way back to '16 to kind of find a level. So, I'd love to hear more about what you think is driving the productivity, is it moving upstream and focusing on slightly larger customers, is it just broader activity on enablement campaigns pushing through some better leads and converting on those. Can you talk a little bit more about why you are seeing that productivity and what enables you to kind of continue to do that?
Archie Black: Yes, Tom. As you recall in early '17 and '18 we've made various changes to the sales organization; the biggest one being in '17 and some of them was territorial alignment, some of them was management changes et cetera. And I think that is starting to pay off along with customer success really teaming, while more proactively with sales. So, I think it starts with the retailers and they've done a fantastic job this year. So, hats off to that team and their production and that always helps our whole group, our whole business. And then I take the whole structure as we laid out as we talked about over last couple years, it takes longer than people want to hear for these things to really start getting some action. And I think we've settled into a pretty good spot. So, I think that sales -- in that aspect.
Tom Roderick: Good, okay. Archie, I'll go back to you with the next question here, I think as if you guys already didn’t have the Minneapolis EDI market covered. You've now sort of wrapped around the entire city here. So, I'd love to hear a little bit more about EDI adding in the acquisition. It looks like they've been around on almost as long as you guys. But doesn't look like from what I could tell they've raised significant amount of money and maybe not even any money overtime. It's just a pretty lean organization, how many people you're taking on, how many customers, then any incremental technological benefits I see from their website they tout a chip eye test technology but it's not immediately apparent to me exactly what that is and how that layers into you guys. So, maybe you could talk a little bit more about the acquisition?
Archie Black: Yes, they have been around for a long time. They've been owner, individual owner own the business has accumulated a fantastic team. And we've partnered with them, so we worked with them which it's so much easier to make an acquisition if you've either competed against somebody or you partnered with them because you just get to see them in action as opposed to doing due-diligence in on these. And they really help our end-to-end integration. I mean, we built our own net suite and integration. That's you know but for the SAP and Oracle, they really built some really great technology in that landscape. And we think that helps and we think that what they built they've done a really nice job of it and we can leverage that in other place as well. So, pretty lean small organization but I think it's going to be a nice contributor.
Tom Roderick: So no, I mean, it gather from that statement, no immediate worry that we should consider for this being dilutive to that financial model as you fully absorb it?
Kim Nelson: And just think about the financials, it's reflected in our Q4 numbers as well as the expectation for next year's EBITDA dollars to be approximately 20% growth year-over-year. If you think about it in Q4, it's going to impact our revenue a few $100,000.
Tom Roderick: If you undertake.
Kim Nelson: And it's marginable and that's business that's marginally possible.
Tom Roderick: Okay. Thank you guys, I appreciate it, nice job.
Archie Black: Thanks.
Operator: Thank you. Our next question or comment comes from the line of Scott Berg from Needham. Your line is open.
Scott Berg: Hi Archie and Kim, congrats on the great quarter. I have two questions. I guess first of all, Kim, I wanted to see if you have any additional commentary on your assumptions around that $300 million revenue exit rate two years from now. Is there any differences in the growth of the different product areas of the business, whether it's on the fulfilment side or maybe on the analytic side versus current sales trends there?
Kim Nelson: Sure. So, basically what we're doing is we're reiterating the expectation that we established earlier this year on our Q4 earnings call from February this year where we said we expected to be at a run rate of at least $300 million exiting 2020. We still feel confident in that. As it things, as you think about what makes up that number, as we stated in the past, we do think that retailer is on a multi-year journey as they go through their state of transition. And because of that those dynamics are reflected in our numbers. So, for example, when you think about some of the dynamics that we pack it out on analytics versus fulfilment, I feel that is has been growing at a rate faster than analytics for a lot of the reasons that we talked about in prior earnings call. We think long-term analytics, super important, and long-term great opportunity for us. But with some of the dynamics happening in the retail space, we think that retailers are having that as a lower priority, since some of the fulfilment related activities. And so, we've taken all of that into account as we put together our expectations for that at least $300 million exiting 2020 both dynamics of the state retailers in is taken into account.
Scott Berg: Got it, thank you, helpful. And then, a follow-up question for you Archie, is I guess that's be reminds on someone on this call they may have something about the kind of trade wars interior set are out there. And any impact to your business given with their critical role SPS plays in trade or at least in a mid-area between the customers and these retailers. But does that have any impact or are you seeing any potential impact in the way that you're customers buy your solutions to maybe somehow mitigate those challenges at all?
Archie Black: You Scott, I will tell you, we haven’t seen any effects of that but could be overtime a small positive in the fact that if you have backup supplies, if you have a more robust supply chain and alternatives. Obviously, there's some more trading partner relationships, somebody has the mobility there is for us to monetize. But to be honest with you we haven’t seen that. And frankly I spend a fair amount time with retailers and taking to retailers. Believe it or not, you're not hearing a lot of talk yet about what they're going to do.
Scott Berg: Got it, that's helpful. Thanks for taking my questions.
Operator: Thank you. Our next question or comment comes from the line of Mark Chapelle from Benchmark. Your line is open.
Mark Chapelle: Hi, good evening. Thank you for taking my question and on this job on the quarter. Actually going back to the question earlier question on EDI. And in your prepared remarks you noted that they bring additional automation capabilities to your products. I think in your prior answer, you talked a little bit about or addressed the adapters SAP and Oracle that they have. Is that their principle capabilities that they bring to the company?
Archie Black: That's the primary systems, there is a few other systems but that's the primary at this time but I think they've also built a technology platform that will be of the leverage that across different ERP systems. And for us, it's a matter of choosing best of class and in a lot of those cases they will be a partner because we think our partner has done a fantastic job and will continue to partner but it also brings us our own capabilities. Some of these ERPs we built our own capabilities but on the SAP and Oracle in particular they're strong.
Mark Chapelle: Great, thanks. And then, the cash on the balance sheet continues to build. And I just wondered if you could just remind us real quickly what the companies priorities are with respect to cash. And just also speak just to the outlook for M&A in your space.
Kim Nelson: Sure. So, as it relates to the cash, we are casual positive. So, the cash that we have on our balance sheet, how you're seeing the company use that has been either in the form of M&A or in stock buyback. We did and we have the board have authorized stock buyback and in this past quarter we bought back about a couple of million dollars' worth of stock and we have bought back stock the last couple of quarters. As it relate to our acquisition and use of cash, the EDI and then that we mentioned on the earnings call, you'll see that reflected in Q4 as it relates to a use of cash of about $7.5 million of cash for that acquisition. And then there is a potential earn out on top of that as well. So Mark, we can think about it as that cash is there for our potential M&A consolidation opportunities as well as again you'd see in the company repurchase stock as well.
Archie Black: I think on the acquisition front, we made it really clear that we have a large total addressable market and opportunities. But we are spending more time on acquisition front and are looking to be a little more aggressive but we're going to make sure we have deals that are accretive to loss and make sense for our long-term.
Mark Chapelle: Great, thank you.
Operator: Thank you. Our next question or comment comes from the line of Pat Walravens from JMP Securities. Your line is open.
Unidentified Analyst: Hi, this is actually Joe Goodwin on for Pat. Thanks for taking my question. Just real quick, I wanted to ask about where you guys are focusing on R&D?
Archie Black: Yes, we're focusing our R&D efforts across all of our product suite, primarily fulfilment and the analytics. And I would say, one of our values as win today, win tomorrow, so was always investing in the shorter terms customer experience; easier to integrate; easier to use; easier to buy and then we're in the background always Trying to make sure we're building Evolutionary the next gen, the disruptive technology. Because every industry is always disrupted and we want to continue to be the disrupter of ourselves. So, very much like we did last year. About 18 months ago we came out with our brand new redesigned web form for government product, so both from a win today and win tomorrow.
Archie Black: Thank you. Congrats on the Tim Klasell from Northland Securities. Your line is open.
Unidentified Analyst: This is Tyler Wood on for Tim. First off, any update on channel partnerships in the channel sales team. Maybe what share sales is coming from that, part of the business and how that's trending. Thank you.
Archie Black: Yes, we'd share those numbers on an annual basis, so you'll share those and in February but I think that channel sales group continues to deepen relationships with their partners and then also look for new partnerships. And again, we continue to be focused primarily in five areas that Oracle, SAP, NetSuite, Microsoft and Sage are primary focus from the chance.
Unidentified Analyst: Thank you. And then, also could you talk a bit, I think you mentioned it in the prepared remarks but could you talk a bit more about the API strategy and API-enabled and how that plays into you fully?
Archie Black: Yes. I mean, we continue to invest in our network, is the way we think about it and we've never been at the core an API centric business. We've always been a really been about perfecting creating partner relationships. So, we just look at as another extension. We think there's going to be a slow evolution to APIs and in some cases APIs make sense, in some we don’t believe they do but we'll follow the obviously the request of our network. So, we think in logistics and drop ship we're going to see more-and-more. APIs and obviously we're to see more API integrated that in the ARP system. So, we're going to follow the network on API. So, we know that's what our network color, network wants us to integrate to them, that's what we're going to do.
Unidentified Analyst: Thank you.
Operator: Thank you. [Operator Instructions] Our next question or comment comes from the line of Monika Garg from KeyBanc. Your line is open.
Monika Garg: Hi, thanks for taking my question. First on the EDI admin acquisition. Is could you maybe talk about is there any revenue contribution Q4 or kind of how to think about for 2019. And then, you said it provides a good connectivity with SAP, Oracle, ERP system. I thought you already have that connectivity too. So, maybe could you talk about what it provides on top of that?
Archie Black: Yes. Depending on the customers' needs and desires, we can either today integrate back into or before the EDI admin integrate back into SAP and Oracle. We integrate today to over a 110 different ERP systems. Depending on the level of complexity and the ease and the customer's uses, sometimes there is prebuilt technology if you will and we do but this allows us a much more seamless end-to-end on the SAP and Oracle.
Kim Nelson: And as it relates to the revenue, it again we think about this acquisition is its technology and it's primarily a technology enhancement but certainly there are customers. What do you think about it in Q4, its a few 100,000 in revenue in the quarter?
Monika Garg: Got it, thank you. And then, in occasion on ARPU of the recurring revenue customers, it had been going nicely double digit except last two quarters. As you were trying to go more up market, and last two quarters the growth has been like 8.4 and this quarter 7.5. Maybe is there some change there maybe just could you elaborate that?
Kim Nelson: Sure. So, when you think about our business, there is a healthy amount of about 93% that's recurring revenue. And then of that recurring revenue there's really two matrix that we highlight that are both important relative to what makes up that over our recurring revenue. It's the amount of recurring revenue customers and then it's that average revenue per recurring revenue customer. So, if you think about this quarter, the ARPU that recurring revenue per customer grew roughly 7.5% year-over-year. To your point you noted that the customer growth was higher. So, what tends to happen would add, when you think about the community enablement campaigns, when you have a time where there is more of these campaigns and it brings us to more new customers which certainly did occur in Q3? That tends to actually mute that ASPs if you think about the comments that I made as it relates to some of the activity in the quarter on some of that mid-sized grocers and that brought us in front of new customers that were not previously in our network but smaller size of suppliers. When they get added into our network, their ASP is going to be lower than our average ASP. So, if you think about that in any given quarter or time period, there's going to be different dynamics that impact the numbers specific in the quarter. The ASP is slightly muted due to the fact of the higher additions of new customers. Over time, we certainly think that both number of customers or the growth in customers as well as our ASP and the growth in ASP, the combination of both of those we think are important contributors to our overall recurring revenue growth.
Monika Garg: Okay. And just a last one. You talked about 12% growth this year. Is it the fair way to think about growth next year low double digit?
Kim Nelson: So, we haven’t provided guidance on revenue for 2019, we'll provide that on our February earnings call. What we have reiterated is our expectation that exiting 2020 will be at a run rate of revenue of at least $300 million.
Monika Garg: Got it. Thank you, so much.
Kim Nelson: We've also reiterated that we do believe that retail still in a state of transition that's a multi-year journey.
Monika Garg: Thank you.
Operator: Thank you. Our next question or comment comes from the line of Jeff Van Rhee from Craig Hallum. Your line is open.
Jeff Rhee: Great, thanks. Congrats guys, real nice leverage there in particular. On the EDI admin just when did it close, you said a few 100,000 in Q4, when does it actually close or did it close?
Kim Nelson: It closed earlier this month; October.
Jeff Rhee: Okay, got it. And then, as you look at the supplier base and you look at the higher end, the larger suppliers that have signed on previous service. How has that breakpoint where people do it in-house versus are willing to give it to you changed, have you seen any variation there?
Archie Black: It's a count-by-count. I mean there's a lot of dynamics. I'd say that our capabilities are better, we're able to keep be more price competitive. Because it's easier to switch and then depending on what's happening. Not a drastic switch but we're probably getting a little better at that. Little higher conversion rate I wouldn’t say significantly though.
Jeff Rhee: Okay. And then, just back, Kim, you were just touching on the ARPU but just kind of a follow-up there, I realize as you add smaller suppliers and others, it can have effect on overall ARPU but if you kind of take the bread and butter existing customers and you try to normalize for an impact of additions of maybe smaller customers. But if you look at just that core base, how has the pace of additional connections and the addition of additional of more connections, how is that pace changed in the last six months versus maybe like 12, 18, months ago?
Kim Nelson: It really isn’t, if you were to try to dissect that down, there's really not a change relative to the pace the way you think about is. The longer our customers, we'd have some more revenue per we get from that customer the more average connections go up from that customer. So, there really hasn’t been a change in dynamics that we're seeing this year compared to last year as an example.
Jeff Rhee: Yes. Okay, last one. And just, any comments with respect to the sales, the pipeline with and in particular with respect to enablement campaign. Just anything notable about what you're seeing in the forward pipe?
Archie Black: I think the retail team has executed really nicely this year. So, that's really good to see but it's a mix of everything. I wouldn’t say it looks that drastically different than over the last couple of quarters. So, not drastic changes at this time.
Jeff Rhee: Got it, thank you.
Operator: Thank you. Our next question or comment comes from the line of David Gearhart from First Analysis. Your line is open.
David Gearhart: Hi, just one quick one from me. It's been a while since you've talked about churn. Just wondering if you can give us some color on what the churn looks like for the company now versus last year, if it's actually improved or got worse. Just some commentary there would be helpful. Thank you.
Kim Nelson: Sure. Yes the churn, no change. It's about 13% from a customer churn. That's an annualized number.
David Gearhart: And what about our -- a dollar churn number or a basis can you --?
Kim Nelson: Dollar churns again no real change. That's a little less than half of that, so around sort of that 07'ish percent dollar churn.
David Gearhart: That's it from me, thank you.
Operator: Thank you. I'm showing no additional questions in the queue at this time. I would like to turn the conference back over to management for any closing remarks.
Archie Black: Thank you for attending today and I appreciate you calling in.
Operator: Ladies and gentlemen, thank you for participating in today's conference. This concludes the program. You may now disconnect. Everyone have a wonderful day.